Operator: Good morning, ladies and gentlemen, and welcome to the Centrus Energy Third Quarter 2025 Earnings Call. [Operator Instructions] Please note that this event is being recorded. I will now hand you over to Neal Nagarajan.
Neal Nagarajan: Good morning. Welcome, and thank you to all of our callers as well as those listening to our webcast. Today's call will cover the results of the third quarter 2025 ended September 30. Today, we have Amir Vexler, President and Chief Executive Officer; and Todd Tinelli, Chief Financial Officer. This conference call follows our earnings news release issued yesterday. We filed a report for the third quarter on Form 10-Q earlier today. All of our news releases and SEC filings, including our 10-K, 10-Qs and 8-Ks, are available on our website. A replay of this call will also be available later this morning on the Centrus website. I would like to remind everyone that certain information we may discuss on this call today may be considered forward-looking information that involves risks and uncertainty, including assumptions about the future performance of Centrus. Our actual results may differ materially from those in our forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in our forward-looking statements is contained in our filings with the SEC, including our annual report on Form 10-K and quarterly reports on Form 10-Q. Finally, the forward-looking information provided today is time-sensitive and accurate only as of today, November 6, 2025, unless otherwise noted. This call is the property of Centrus Energy. Any transcription, redistribution, retransmission or rebroadcast of the call in any form without the expressed written consent of Centrus is strictly prohibited. Thank you for your participation. And I'll now turn the call over to Amir.
Amir Vexler: Thank you, Neal, and thank you to everyone on the call today. We made significant progress this quarter in strengthening Centrus to capitalize on our forthcoming growth opportunities while continuing to successfully operate our broker trader business. This includes hiring Todd Tinelli to succeed our former Chief Financial Officer, Kevin Harrill. I would like to again thank Kevin for his work to help improve and bring Centrus forward. Todd brings a wealth of knowledge and expertise to Centrus, including more than 20 years of experience in the energy industry. He has been part of a number of large industrial expansions and capital raises, precisely and not coincidentally the tasks we're facing now. I welcome Todd to the team. Our progress to date includes our internally focused operational preparations, the growing momentum and discussion we are having with potential future customers and increasingly strong signals we see from the marketplace. All of these have strengthened our outlook and culminated in, one, our event in Ohio announcing our hiring plans ahead of our planned expansion; and two, today's capital raise announcement. But first, let me turn to the quarter results. As many of you know, there can be a significant amount of variability quarter-to-quarter due to the nature of our business. And as such, we believe our annual results are more indicative of our progress. In the third quarter, we achieved $74.9 million in revenue, a gross loss of $4.3 million, and operating loss of $16.6 million and a net income of $3.9 million. 2025 year-to-date net income was $60 million compared to $19.5 million during the same period last year. Todd will discuss the results and their respective drivers in more depth shortly. Turning to our broker trader segment. During the quarter, Centrus received waivers from the Department of Energy to continue to import LEU for all currently committed deliveries to U.S. customers in years 2026 and 2027. This announcement provides greater clarity and helps to derisk that side of our business. Now turning to our future commercial enrichment business. As a reminder to our listeners, our proposed public-private partnership model envisions Centrus potentially securing funding from a number of sources. On the public side, this includes potential task order awards under our LEU enrichment contract or under our HALEU enrichment and deconversion contract, which altogether represent opportunities to obtain a portion of the $3.4 billion appropriated by Congress or potential national security awards. As we have previously stated, we hope to capitalize on any potential public funding made available by the DOE as it will create the lowest cost of capital structure. As the only U.S.-owned company with a proven technology, we feel we make a strong case. The private capital would then come in multiple forms, including partnerships for our balance sheet. Furthermore, we also have other business models that address a variety of funding scenarios. Ahead of the DOE's LEU and HALEU awards, we continue to pursue our readiness initiative to strengthen our investment case and to prepare ahead of our industrial expansion. First, in the quarter, we closed an oversubscribed and upsized convertible senior note transaction on favorable terms, increasing our unrestricted cash balance to over $1.6 billion, in line with our strategy to optimize our capital structure and strengthen our position ahead of government announcement. Second, we continue to execute on our supply chain readiness program announced last November that is laying the groundwork for future large-scale deployment of our technology. Our September Ohio jobs announcement is another concurrent preparation step. Third, we continue to successfully operate our HALEU cascade under our contract with the DOE and reached a milestone of 2 full years of continuous uranium enrichment this past October. Our technology has been proven with over 3.9 million machine hours. It can meet the full range of America's commercial and national security enrichment requirements, including, but not limited to, LEU, LEU + and HALEU. Fourth, we are seeing growing momentum in our engagements with key stakeholders, including potential external investors. In August, we signed an agreement with KHNP, the third largest operator of nuclear assets in the world and POSCO International for a potential investment in Centrus' enrichment capacity. The key development is an example of how private sector capital could support our potential expansion. There is a large and growing opportunity set for these types of partnerships that could come from foreign countries and utilities to SMR developers and hyperscalers, all of which are looking to secure fuel for their respective ambitions. Our strong progress and these developments have led us to our 2 most recent announcements. First, at our September event alongside Governor DeWine, Senator Jon Husted and Congressman Taylor of Ohio, we announced our plan to hire on a large scale ahead of our plant expansion. These are important jobs to an economically depressed area that holds significant talent and is but one example of the value that comes from investing in an American company that is creating American jobs. Second, this morning, we announced we are launching a $1 billion at-the-market program. Given the market signal and our progress, we believe now it is an appropriate time to raise these funds in this form ahead of our proposed build-out. With that, I will turn the call over to Todd to walk through the numbers. Todd?
Todd Tinelli: Thank you, Amir, for that welcome, and thank you to everyone on today's call. First, I'd like to thank Amir for that kind welcome. My first 100 days on the job have been exciting and have reinforced my strong belief in Centrus platform and substantial upside potential. I have been impressed with its unique world-class technical capabilities, the operations and its assets already in place, a strong position in the market with high barriers to entry and the talented workforce. Looking ahead, I will be focused on appropriately position our balance sheet and potential partnership network to sufficiently capitalize the company for our future needs and implementing best practices across our operations to support our potentially large expansion. Let me first walk through our results, which were in line for our internal projections and reflected the typical quarter-over-quarter shift in contractual mix that can transpire based on our customer orders and deliveries. Total revenue for the third quarter was $74.9 million, an increase of $17.2 million or 30% versus the same quarter last year. The LEU segment generated $44.8 million in the third quarter, an increase of 29% or $10 million compared to the same quarter last year, driven by an increase in the volume of uranium sold, partially offset by a decrease in the average price of SWU sold. The technical solutions segment delivered revenue of $30.1 million in the third quarter, an increase of $7.2 million or 31% over Q3 2024 results, driven by the sale of LEU to the DOE. Centrus generated a third quarter gross loss of $4.3 million compared to a gross profit of $8.9 million in the same period last year. The LEU segment cost of sales increased $23.0 million to $52.6 million in the quarter, primarily driven by an increase of volumes of uranium sold, partially offset by a decrease in the average cost of SWU sold. Cost of sales in the CTS segment grew $7.4 million to $26.6 million in the quarter, primarily attributed to the $8.5 million in cost increases under the HALEU operations contract. Centrus generated net income of $3.9 million in Q3 compared to a net loss of $5 million in the same period last year. Excluding nonrecurring costs associated with the CFO transaction, Q3 2025 net income was $4.6 million. 2025 year-to-date net income was $60 million compared to $19.5 million during the same period last year. As of September 30, 2025, the total company backlog stood at $3.9 billion and extends to 2040. The LEU segment backlog is approximately $3 billion. This includes future SWU and uranium deliveries primarily under medium- and long-term contracts with fixed commitments as well as the $2.3 billion in contingent LEU sales commitments. With $2.1 billion of the total under definitive agreements and $0.2 billion of the total subject to entering into definitive agreements. Our technical solutions segment backlog is approximately $0.9 billion as of September 30, 2025, which includes funded amounts, unfunded amounts and unexercised options. The options relate to the company HALEU operation contract. Turning to our capitalization. In the third quarter, we issued $805 million of 0% convertible senior notes for a total net proceeds of $782.4 million. The proceeds from the offering deliver added liquidity to execute our strategic plans and help derisk our business. Furthermore, as announced today, we filed a shelf registration and simultaneously brought down $1 billion to be used in an at-the-market offering. We believe that having a shelf in place is part of good business practices and that using equity to raise capital at this time is a prudent solution given our strong valuation and lower cost of capital associated with it. We will be using the proceeds from the ATM for general corporate purposes. The issuance of the 0% convertible notes as well as today's announced ATM program are in line with our capital plans to appropriately and prudently raise funds ahead of our planned industrial build-out and government funding decisions. With that, I will turn the call back to Amir.
Amir Vexler: Thanks, Todd. Before ending the call, I'd like to quickly summarize the points that have led to our growing confidence in our most recent announcements. First, U.S. utilities are set to expand nuclear capacity. The Nuclear Energy Institute recently identified over 8 gigawatts of expected additional generation from the existing fleet, including plant restarts and power upgrades. And recall that Westinghouse recently pledged to build 10 new large reactors in the United States and the federal government recently announced $80 billion investment related to the project. The combination of just these 2 events could equate to a need for an additional roughly 2.5 million SWU per year. Second, we continue to see an acceleration in new market demand for nuclear power. For example, the projected power requirements for data centers are driving major investment in nuclear by technology giants, including Amazon, Google, Microsoft and Meta as well as non-hyperscaler owned and operated data centers like REITs, and continue to come to market. Third, the SMR market continues to mature. The Tennessee Valley Authority, for example, recently announced a deal for a 6-gigawatt deployment from one SMR design. The Department of Energy, meanwhile, has launched the reactor pilot program that aims to demonstrate criticality in at least 3 test reactors by July 4, 2026. And just last month, the U.S. Army launched the Janus Program aimed at deploying microreactors in 9 bases over the next few years. All of these will drive the demand for more enriched uranium and have strengthened our outlook. Last month, the published spot price for LEU SWU soared to $220, near historic levels. The demand for U.S.-owned enrichment capacity has never been stronger. I would like to close by thanking our growing list of investors, analysts and listeners without whom none of this would be possible. We look forward to updating you on our progress on our next earnings call. With that, we are happy to take questions. Operator?
Operator: [Operator Instructions] Our first question comes from Ryan of B. Riley Securities.
Ryan Pfingst: Amir, you mentioned the national security opportunity. We saw the BWXT award in September. And then a few weeks later on SAM, the NNSA's notice of intent sole-source contract with ACO for unobligated LEU enrichment. Could you just talk a little bit about Centrus' opportunity there and what that entails?
Amir Vexler: Sure, and good morning to you, Ryan. So as you pointed out, the NNSA recently published a notice of intent to sole source and award ACO for AC100 deployment for unobligated LEU enrichment. I am not sure that I can add anything beyond what the NNSA announced. It is an intent to a sole-source award. But I will add just color maybe to it from my perspective in that if you recall, we have repeatedly stated that our strategy is to serve 3 market segments that are important and all 3 of them are growing, the LEU existing market, behavior market and obviously, the national security market. And so we definitely look forward to hear further communication from the NNSA regarding this notice. And as always, we stand ready to support the NNSA and the nation on a critical national security mission. So what I would read into this is that things are moving forward, it looks. It looks like the things that we were aiming for are materializing. But as I said, not much to add beyond what the NNSA had announced.
Operator: The next question comes from Rob Brown of Lake Street Capital Markets.
Robert Brown: I just wanted to get if you get a little more color on your readiness efforts at Piketon. How do you sort of foresee that playing out? And what are the decision gates you're looking at in the next sort of 12 months?
Amir Vexler: Okay, thank you for that question. We -- as you pointed out correctly, and as we have announced in previous calls, the readiness efforts for a plant build-out are taking shape, and they're taking shape fast. We have already announced investment, which we're in the middle of spending as part of that preparedness. We are launching things like studies of our production cycle time analysis, first time -- first article manufacturing, things of the sorts that you would need to have lined up for rapid manufacturing deployment, all in anticipation of a planned build-out. So yes, there's a few more things that need to fall into place in terms of the public part of it. And I will turn your attention to the Ohio's jobs announcement that we made just recently, where we are in the midst of hiring a lot of folks. We are in the midst of building up our strength and skills. And all of this is in anticipation of ensuring that we are able to execute and are able to go as fast as we can when we announce our build-out.
Operator: The next question comes from Joseph Reagor of ROTH Capital.
Joseph Reagor: Now that you guys have the waivers for '26 and '27, and there's been these extra announcements about investments in nuclear facilities restarts and new facilities. Has there been any shift in political commentary out of Washington about the Jan 1, 2028 deadline for Russian imports? Any realization that's an unreasonable date? And then if not, what do you guys -- how do you guys think about the late 2020s and early 2030s as far as a the business model until you guys ramp up production?
Amir Vexler: Actually, this is a really good question from a macro perspective, from a market fundamentals perspective. So the first part of your question, there's nothing really that I know that I can report officially or unofficially that I've heard about reconsidering anything has to do with Russia. If you remember, that was done legislatively, and that was tied to an investment here in the U.S. to establish domestic supply chain, which is exciting news. The reason why I think the question is critical is because what's building excitement for our case is not a day goes by that there's no new announcements of new builds, whether it's the $80 billion announcement from Westinghouse, Cameco and the U.S. government or as I mentioned earlier, some of the microreactor announcements. I mean, heck I even heard we're planning to put a reactor on the moon by NASA. So all of this is adding to the demand for enrichment. Demand for enrichment in the Western world could be supplied only by a finite number of companies that are currently serving the market. And obviously, Centrus is the new entrant into the market. I call into question as to -- I think this points to the fact also that there has to be ability by these companies to produce centrifuges and to be able to satisfy that market demand. And to me, this is a reinforcement to our business model. This is a reinforcement to where we're marching with some of our investment decisions to be made here soon and the investment decisions that we already made. All of this is reinforcing the -- just the macros that we've been preaching and saying that there will be a significant increase in demand for nuclear enrichment -- nuclear fuel enrichment. And so we're kind of seeing that materialize. And I think you're asking that question. I cannot -- I'm unable to quantify it. I'm unable to say whether there is any back talk in the government about anything that has to do with Russia. But all I know is that we're laser-focused on ensuring that we are able to maximize enrichment capability and enrichment production as much as we can here in the United States. I mean that's our task. And if the market is growing and the market is looking stronger and stronger day by day, that just further reinforces our case.
Joseph Reagor: Okay. On the second part of the question about if they don't extend the deadline, what do you guys think about the late 2020s, '28, '29 and maybe 2030 as far as the business?
Amir Vexler: Yes. You're asking me to speculate. I would not be able to answer that. I do think -- I do believe that there is going to be an extremely tight market in the years that you're mentioning for the reasons that I mentioned earlier is that a lot of stuff is coming online. Russia has been really banned out. So these are going to be tight years. We're going to work as hard as we can to make sure there's enough capacity. But these are the years that I've put a question mark on as well.
Operator: Our next question comes from Nick Amicucci of Evercore ISI.
Nicholas Amicucci: Just following on that, Amir. I just wanted to get a sense that we saw kind of a pretty significant uptick in SWU prices during the quarter, up to $220 per SWU. So just could we kind of parse out kind of the dynamics that we're seeing? Because obviously, Russia is kind of, for lack of a better term, rushing to kind of get their fair share of the U.S. market and so supplying SWU on the market. So if we kind of peel back the onion a little bit, is that could we argue that, that's almost even a depressed kind of price at $220 and where that can be going?
Amir Vexler: Yes. Really good question. And my personal view on things is, as I always mentioned, the only way the price is going to go down is when there is excess capacity in the market. I do not see a line of sight to that based on what we're seeing, we're seeing the demand side of the equation growing so much faster than any new capacity coming online, at least announced new capacity. So you tied it really nicely in your question and sort of reaffirming what I'm saying. This is not just my sentiment. This is the market sentiment. We're seeing SWU prices almost at an all-time highs here. And do I think they will continue to go up? I mean, my answer to the previous question was there is going to be tightness in a few years. And really all it takes is indication of Western capacity inability to meet that demand. And I think you will see that the prices take a much sharper turn than we've seen before. That -- at least that's how I look at it. Again, the way for them to come down is there has to be active capacity on the market. And we're just not seeing that. We're seeing the complete opposite of that, and that's why we're seeing the prices go up.
Nicholas Amicucci: Great. And then if I could just try and parse through some of the NNSA sole-source opportunity a little bit. If we think about that and inevitably kind of the government support that we've seen in the -- and yes, the continued government support and administrative support for kind of rectifying the domestic nuclear fuel supply chain. Is there any kind of levers that even from a national or a federal security perspective that could be pulled just to expedite kind of the time to build the first cascade, just trying to truncate that a little bit?
Amir Vexler: Yes. No, really good question. You're talking about synergies of commercial and sort of potential national security commitments. I mean there's a lot of things that could be done. I'm really hesitant to go deeper into speculating that just because what we've seen at this point is a notice of intent to sole source. If we're fortunate enough to get through sort of the rest of the process with the NNSA, I think it would be a more merited discussion at that point. But absolutely, there is a lot of levers and a lot of things that could be done in the name of synergies in terms of build-outs.
Operator: Our next question comes from Jed Dorsheimer of William Blair.
Jonathan Dorsheimer: I guess, Amir, if we look at the $3.4 billion grant and we look at the -- we're past the 120 days since the task orders. Is the timing of this distribution being affected by the government shutdown? And then I have a second part of that question.
Amir Vexler: Officially, I do not know. I honestly have no idea. I suspect maybe the answer is yes, but I don't know anything officially.
Jonathan Dorsheimer: Got it. That's helpful. And then if I look at the -- it seems like there's -- this is not a technology risk issue. It's really just one of capital and capital is going to determine what the cost basis looks like. Could you maybe just discuss any nongovernment private sector discussions that you guys might be engaged in? Obviously, not the details, but I'm assuming -- I just find it hard to believe that the trillions of CapEx being deployed, many of which I can think of one data center in particular, that has at least 7 gigawatts of their capacity tied to nuclear that they're not aware of the supply chain gap in terms of fueling. And so where I'm getting -- what I'm getting at is when we look at the utilities, when we look at the private sector that's investing behind the meter, why there wouldn't be -- there's not more around a potential offtake to stand up, which would render maybe some of the government money much smaller in the grand scheme of things?
Amir Vexler: Yes good question, Jed. So I think you are pointing out correctly to what we've been saying for a while now that we are looking to maximize the public-private partnership from every source we can, obviously, the public part of it. But also the private. The private does not solely depend on Centrus' ability to raise some capital, but it also relies on external investors as well. As we have announced earlier, we have an MOU with KHNP and POSCO, where we are in discussions now, hopefully moving towards a commitment. But that really is kind of symptomatic of what we're seeing in the market. I think the market, as you said, particularly the companies that would come to rely or would come to rely on nuclear power in general, are starting to realize that, hey, it really is important to turn our attention now to fuel. And so we do have discussions with numerous parties. We've already publicly announced the KHNP and POSCO, but we also have discussions with other interested parties like hyperscalers. We're not at the point of announcing anything or naming anybody, but I will, though, put some energy behind what you said. We are seeing very encouraging signs out there that people now are turning their attention to fuel, and they realize that investment has to be -- it has to be made in the fuel. I mean these are the signals that have led us to make some of the announcements in the Ohio jobs, as I mentioned earlier. And obviously, today's capital raise fits very well into the confidence that we're getting from these discussions and these signals.
Operator: Our next question comes from Vikram Bagri of Citi.
Vikram Bagri: Amir, you've highlighted strong fundamentals in your closing remarks and responses to questions so far. Clearly, the landscape is very supportive of domestic enrichment. I was wondering what signals would you look for to announce further expansion beyond the planned 3.5 million SWU capacity, perhaps doubling it? And how much time it will take to get there? And then finally, it seems you have a bullish view on SWU pricing. I was wondering what SWU pricing is required to incentivize more expansions? And what SWU pricing are you underwriting in your own expansion?
Amir Vexler: Good questions, and thank you for that. So to your first question about expansion, the way I see the natural events unfolding is we have to get to a base case type capacity in our facility, which we're planning towards. Once we start moving towards that, it is my anticipation that we were going to get a lot more than signals from the market. We're going to get enhanced commitments and additional commitments from others that we have not gotten them from. Basically, what I'm saying is there is a large population out there that is perhaps sitting it out for now and waiting to see how things progress and how we will execute, how others will execute, how the market will unfold. So I fully expect that once planned execution is underway, we're going to get more interest and more commitment for further expansion. That really is the signal that we'll be looking for, and it would be more than the signal we'll be looking for commitments. To your question about SWU pricing and what is an advantageous or hurdle SWU pricing, obviously, I will not be able to name that because that will point to our cost structure and things that we normally would not want anybody to know. It's very proprietary and sensitive information to us. But I will say to you, though, that the SWU pricing that we're seeing right now is not bad. I mean this is the SWU pricing that has people that have technology, that are able to utilize technology, that are able to launch their technology into production. It's not a disadvantageous SWU pricing that we're seeing right now.
Operator: The next question comes from Bill Peterson of JPMorgan.
Unknown Analyst: This is Nehima on for Bill. I was curious, are strategic investors looking for you to further derisk the balance sheet yourself before committing to funding? Or are they perhaps waiting for the government or national security type funding to come through before those conversations progress further?
Todd Tinelli: This is Todd, the CFO. I think there's a variety of different areas that the balance sheet can go, obviously, with public and private investment. One of the things that is our objective is to put us in a position that really we're not reliant on one source of capital to come in to fund our proposed or planned expansion. So obviously, when we're looking at private investments that come in, there is offtake arrangements. There's a variety of different scenarios that could take place. But our first objective is to well capitalize the balance sheet and have a capital structure that allows Centrus to be well positioned for the future.
Operator: The next question comes from Jeff Grampp of Northland Capital Markets.
Jeffrey Grampp: Maybe just kind of building off of the last question. I wanted to touch on the recent release regarding the potential Korean investment. And maybe more broadly, like how do you guys think about taking third-party private capital investment to help fund any build-out of the enrichment? What are the kind of trade-offs you guys may consider as you think about taking third-party investment?
Amir Vexler: That's a good question. I'll try to answer it without revealing things that are nondisclosed in a nondisclosure agreement with any of the parties. Obviously, if an investor invests, they expect something in return. And it's a process of negotiations to ensure that we can find a win-win solution. When you're in an environment where you're hitting record SWU prices and the prospects appear that they will continue to go up and the prospects are that the market will continue to have tightness in supply, that helps make a very strong case for an investor that comes in. So I know I'm not really giving you a lot of details, but all this to say is that we have numerous models that we're working through. And whatever decision we make, we certainly are grounded in delivering shareholder value and maximizing it from our perspective.
Operator: The next question comes from Eric Stine of Craig-Hallum Capital Group.
Unknown Analyst: This is Luke on for Eric. So have your views on your targeted enrichment mix between LEU and HALEU in the market changed at all given the progress being made by some of the advanced reactor developers? Do you see more robust HALEU demand in the near term becoming more realistic in your view?
Amir Vexler: Right. Good question. So the ultimate decision of the planned expansion in terms of how much HALEU, how much LEU would be 100% driven by customer demand and customer commitments. And however they weigh that mix. I will say that during my time in the company, which is almost 2 years now, particularly in the last year, we have seen HALEU going from sort of like an MOU type, let's agree to some point in the future where we can talk about a contract, very noncommittal to we're seeing companies now, hey, we're ready to make a commitment type conversations. So we're seeing HALEU evolve very quickly and rapidly, especially through some of these expansion plans that you're hearing from microreactors and other small modular reactors. I mean, ultimately, if somebody starts buying these reactors as is happening right now in the market, they would be able to make commitments for fuel. So all this to say that there's a lot of momentum behind HALEU now. We're -- but the ultimate decision is going to be what that commitment breakdown looks like between HALEU and LEU.
Operator: The next question comes from Sameer Joshi of H.C. Wright.
Sameer Joshi: And Todd, congrats on the new role. Looking forward to interact with you. I just have one question on the improved SWU pricing environment. Are you able to contract these? Like has the backlog increased from the new SWU prices? And when should we see -- I know these are longer term -- mid- to long-term contracts, so we may not see it in revenues soon. But when if you have signed contracts, when should we see those prices?
Amir Vexler: I want to reassure our investors and shareholders that locking in commitments and growing that commitment backlog is a big priority for us, both in HALEU and LEU and the 3 segments that we have been discussing. That is a key important focus for us. Obviously, we don't disclose details around our contracts. And I will point out to you, though, that a lot of these conversations and the results of these conversations are very nonlinear. So we could be working on something for a while and release something large and then not hear anything or see anything for a little while. So it's not necessarily a steady stream, but like I said, it could present itself in a nonlinear fashion. But the only thing I can leave you with without violating any, again, nondisclosures that we have is that it is still a major focus area for us and a priority for the company.
Operator: Ladies and gentlemen, we have now reached the end of the Q&A session. I will now hand you over to Neal Nagarajan for closing remarks.
Neal Nagarajan: Thank you, Judith. This will conclude our investor call for the third quarter of 2025. As always, I want to extend a thank you to our listeners and our analysts who have called in, and we look forward to speaking with you again next quarter.
Operator: Thank you. Ladies and gentlemen, that concludes today's event. Thank you for attending, and you may now disconnect your lines.